Mike Saviage: Good afternoon and thank you for joining us today. Joining me on the call are Adobe’s President and CEO, Shantanu Narayen, as well as Mark Garrett, Executive Vice President and CFO. In the call today, we will discuss Adobe’s first quarter fiscal year 2014 financial results. By now, you should have a copy of our earnings press release, which crossed the wire approximately one hour ago. We have also posted PDFs of our earnings call prepared remarks and slides, our financial targets and an updated investor datasheet on adobe.com. If you would like a copy of these documents, you can go to the Investor Relations page and find them listed under Quick Links. Before we get started, we want to emphasize that some of the information discussed in this call, particularly our revenue, subscription and operating model targets, and our forward-looking product plans is based on information as of today, March 18, 2014 and contains forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release we issued today, as well as Adobe’s SEC filings. During this call, we will discuss GAAP and non-GAAP financial measures. A reconciliation between the two is available in our financial targets document and in our updated investor datasheet on Adobe’s Investor Relations website. Call participants are advised that the audio of this conference call is being webcast live in Adobe Connect and is also being recorded for playback purposes. An archive of the webcast will be made available on Adobe’s Investor Relations website for approximately 45 days, and is the property of Adobe. The call audio and the webcast archive may not be rerecorded or otherwise reproduced or distributed without prior written permission from Adobe. I will now turn the call over to Shantanu.
Shantanu Narayen: Thanks, Mike and good afternoon. Adobe is redefining the Creative and Digital Marketing categories with our industry-leading cloud offerings. Through a steady stream of innovation, we will expand adoption of Creative Cloud; grow multi-solution sales of Adobe Marketing Cloud; and drive integration across our cloud offerings. We made progress on all fronts this quarter. In Q1, we achieved $1 billion in revenue, with non-GAAP earnings per share of $0.30. We drove strong performance across key growth metrics, including Creative Cloud subscriptions, annualized recurring revenue or ARR, and Adobe Marketing Cloud bookings. In Digital Media, Creative Cloud momentum continued. Creative Cloud ARR grew to just under $1 billion in Q1 and we exited with over 1.8 million subscriptions. Driving that customer adoption and satisfaction is the ongoing flow of innovation in the Creative Cloud platform. Coming off our delivery of more than 500 new features and capabilities last year to Creative Cloud subscribers and enterprise users, in Q1 we delivered numerous updates including major features in Photoshop, Illustrator, and InDesign. We are excited about the amazing innovation we will deliver in a major update to Creative Cloud in the next few months. Our digital publishing business continues its momentum, where we are building on our success with publishers in the corporate market, like General Motors and Disney. Last month, we announced the integration of Digital Publishing Suite and Adobe Experience Manager, part of the Adobe Marketing Cloud. This integration enables publishers and brands to create, deliver, and measure experiences across the web and content-rich apps like digital magazines using one set of assets. This enables a faster and more efficient publishing process. In Document Services, Acrobat continued to achieve solid performance, with online document services continuing their momentum. EchoSign adoption continues, with brands including Citrix, Electronic Arts, Kia, NEC Financial Services and UC Berkeley using our eSignature platform. Combined with Acrobat ETLAs, Document Services ARR grew to $164 million exiting Q1. Between our Creative and Document Services businesses, total Digital Media ARR grew to $1.15 billion at the end of Q1. In Digital Marketing, Adobe Marketing Cloud achieved 24% year-over-year revenue growth in Q1. We continue to have the most comprehensive offering in the market for Chief Marketing Officers, Chief Revenue Officers, advertising agencies, publishing executives and digital marketers. To create even more impact for our marketing customers, we are focused on integrating our six Adobe Marketing Cloud solutions. In January, we announced the integration of Adobe Campaign and Adobe Experience Manager. This will allow marketers to use a single digital asset management repository and integrate data from anonymous visitors and identified customers to create personalized customer experiences. Campaign is off to a strong start, as it addresses marketers’ challenge to manage communications with their customers across multiple channels. Examples of customers licensing multiple Adobe Marketing Cloud solutions in Q1 included GMC, Kohl’s, MGM, NBC Universal and Under Armour. Last month, we had an exciting event when NBC Sports used Adobe Primetime to deliver the Sochi Olympics to desktops, tablets and other mobile devices. Millions of viewers were able to access events live and on-demand. NBC was able to use Primetime’s analytics, authentication, ad delivery and media playback capabilities to stream video across screens. With more than 10.2 million video stream starts, the men’s hockey game between the U.S. and Canada stood out as the biggest, authenticated online event in history. Next week, we will hold our Digital Marketing Summit in Salt Lake City, with over 5,500 attendees. Summit has become a premier industry venue where we engage with current and prospective customers as well as an ever growing list of global partners. We have a number of significant announcements on the docket as well as an amazing speaker lineup, including senior marketing executives from brands like Audi, FedEx, REI and Sephora. I am proud to share we donated over $300 million of software and training to the White House’s ConnectED initiative. The goal of ConnectED is to advance digital learning among our youth, and we are excited about enabling 15,000 schools across the country to help students express their creativity and build skills for future success. We delivered another strong quarter and continue to make great progress against our goals in both Digital Media and Digital Marketing. Next week at Summit we will walk you through more details about where we are headed. We hope to see you there. Now, I will turn it over to Mark.
Mark Garrett: Thanks Shantanu. In the first quarter of FY ‘14, Adobe achieved revenue of $1 billion, at the high end of our targeted range. GAAP diluted earnings per share in Q1 were $0.09, non-GAAP diluted earnings per share were $0.30. Highlights in the quarter included: Adding more than 405,000 net new Creative Cloud subscriptions. Creative subscription reported revenue exceeding perpetual licensing revenue for the first time, growing Digital Media ARR by over $200 million to a quarter ending total of $1.15 billion, driving 24% Adobe Marketing Cloud year-over-year revenue growth. Increasing deferred revenue by $52 million to a record $881 million. And exiting Q1 with 52% of our $1 billion of Q1 revenue as being recurring, this is truly a major milestone in the company’s transformation. In Digital Media, we achieved revenue of $641 million. This segment has two major components of revenue: our Creative family of products and our Document Services products. In our Creative business, customer adoption of Creative Cloud grew quarter-over-quarter. We exited Q1 with 1.844 million paid Creative Cloud individual and team subscriptions. With this achievement, we hit a milestone, where Q1 reported Creative revenue from subscriptions and ETLAs exceeded reported revenue from perpetual licensing for the first time. Our success with subscriptions, ETLAs and Digital Publishing Suite adoption helped to drive Creative ARR to a total of $987 million exiting Q1, an increase of $186 million quarter-over-quarter. As of the end of Q1, 96% of Creative Cloud subscriptions were annual plans. The percentage of single app subscriptions grew as a percentage of total subscriptions as a result of our successful Photoshop/Lightroom bundle, which is expanding our overall market opportunity. We are making good progress migrating individual, team and enterprise customers to Creative Cloud. In addition, we are offering incentives to accelerate migration of Creative Suite customers, acquire new creative customers, and further expand in the photography market. Retention and renewal rates after promotions expire continue to track ahead of our internal projections. The resulting average revenue per user, or ARPU, was lower in Q1 as expected. As a result of Creative Cloud success across teams and enterprises, we will soon end general availability of CS6 perpetual licensing in the channel. This decision is consistent with our comments last December when we stated we expected no material revenue from perpetual licensing of CS6 in the second half of fiscal 2014. We anticipate this change will align channel resellers to exclusively focus on Creative Cloud for team subscriptions. In Document Services, we achieved revenue of $194 million in Q1. Our success in this category is being driven by continued adoption of Acrobat, Acrobat ETLAs, Acrobat cloud services and our EchoSign e-signing solution. Document Services ARR grew from $143 million exiting Q4 to $164 million exiting Q1. Total Document Services subscriptions spanning EchoSign, Create PDF Online and related services grew to nearly 1.8 million. In our Digital Marketing segment, there are two components. The first is revenue from our Adobe Marketing Cloud offering, and in Q1 we achieved Adobe Marketing Cloud revenue of $267 million, representing year-over-year growth of 24% and ahead of our target of 20% growth in FY ‘14. We drove strong bookings in the quarter, which puts us on pace to achieve our target of 30% bookings growth this year. Total transactions managed by all our Marketing Cloud solutions grew to more than 5.4 trillion in Q1. Mobile device use continues to be a driver in our Digital Marketing business. Mobile transactions increased to 36% of total Adobe Analytics transactions, up from 33% last quarter. Next week at Summit, we are hosting a Financial Analyst Briefing and we intend to update you on numerous metrics, which reflect our leadership and momentum in our Digital Marketing business. The second component of our Digital Marketing segment is revenue from the LiveCycle and Connect businesses, which contributed $47 million in Q1 revenue. As a reminder, late last year we introduced a path for LiveCycle customers to migrate to our Adobe Experience Manager offering. As a result, we expect LiveCycle revenue will continue to decline, while Connect revenue will remain relatively flat. Print and Publishing segment revenue was $45 million in Q1. Geographically, we experienced stable demand across our major geographies. From a quarter-over-quarter perspective, FX decreased revenue by $0.7 million. We had $2.8 million in hedge gains in Q1 FY ‘14 versus $3.1 million in hedge gains in Q4 FY ‘13. Thus the net sequential currency decrease to revenue was $1 million. From a year-over-year currency perspective, FX decreased revenue by $10.9 million. Comparing the $2.8 million in hedge gains in Q1 FY ‘14 to the $7.1 million in hedge gains in Q1 FY ‘13, the net year-over-year currency decrease to revenue considering hedging gains was $15.2 million. In Q4, Adobe’s effective tax rate was 27.5% on a GAAP basis, and 21% on a non-GAAP basis. The GAAP rate was higher primarily due to stronger than forecasted profits in the U.S. Employees at the end of Q4 totaled 11,802 versus 11,847 at the end of last quarter. Our trade DSO was 46 days, which compares to 44 days in the year ago quarter, and 52 days last quarter. Cash flow from operations was $252 million in the quarter. And our ending cash and short-term investment position was $3.13 billion, compared to $3.17 billion at the end of Q4. In Q1, we repurchased approximately 4.5 million shares at a total cost of $263 million. Now, I would like to go over our financial outlook. In Q2 of FY ‘14, we are targeting a revenue range of $1 billion to $1.50 billion. Assuming the midpoint of our Q2 revenue range, we are targeting total Digital Media and Adobe Marketing Cloud revenue to grow sequentially. We also expect LiveCycle and Connect revenue to decline sequentially. And we are targeting Print and Publishing revenue to be relatively flat. During the quarter, we expect to add approximately the same number of Creative Cloud subscriptions and amount of Digital Media ARR as what was achieved in Q1. We are targeting our Q2 share count to be 508 million to 510 million shares. We are targeting net non-operating expense to be between $16 million and $18 million on both a GAAP and non-GAAP basis. We are targeting a Q2 tax rate of 28% to 29% on a GAAP and 21% on a non-GAAP basis. These targets yield a Q2 GAAP earnings per share range of $0.06 to $0.12 per share, and a Q2 non-GAAP earnings per share range of $0.26 to $0.32. Looking to the second half of the year, in the coming months we are planning a major launch of our Creative products and the removal of legacy CS6 products from the channel. We expect both of these will cause channel partners and our customers to increase their focus on Creative Cloud adoption. Finally, based on this roadmap, and factoring our Q1 performance and our Q2 targets, we expect we will meet or exceed all of the annual FY ‘14 targets we provided in December. These targets are available in the financial targets document on our Investor Relations website. I will now turn the call back over to Mike.
Mike Saviage: Thanks Mark. We look forward to hosting everyone that has signed up to attend Summit next week. The opening keynote session is on Tuesday morning March 25. We will be hosting a brief financial analyst meeting with presentations by Adobe management and a Q&A session at the event on Tuesday afternoon starting at 3:00 PM Mountain Time. It’s not too late to sign up. Contact Adobe Investor Relations for registration information and discounted pricing for professional financial analysts and investors. Keynote sessions and the audio of the financial analyst meeting will be webcast for those unable to attend. We remind everyone that Adobe increasingly utilizes blogs and social channels as a primary means to disclose important information. Investors and analysts who want to stay current on the latest Adobe news are encouraged to follow Adobe on Twitter, Facebook and YouTube and to frequently check Adobe’s corporate blogs on blogs.adobe.com. In addition, tv.adobe.com is a great resource to learn more about Adobe’s products and solutions and find new customer case studies. Our Investor Relations website provides easy access to these resources. For those who wish to listen to a playback of today’s conference call, a web-based Adobe Connect archive of the call will be available on our IR site later today. Alternatively, you can listen to a phone replay by calling 855-859-2056; use conference ID number 5410066. Again, the number is 855-859-2056 with ID number 5410066. International callers should dial 404-537-3406. The phone playback service will be available beginning at 4 PM Pacific Time today and ending at 4 PM Pacific Time on Friday March 21, 2014. We would now be happy to take your questions. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Brent Thill from UBS. Your line is open.
Brent Thill: Good afternoon. On the Adobe Marketing Cloud, it was a little shy of what I think our estimate in the Street was at, I was just curious if you could just walk through the dynamics there? And I realized you’re still guiding to 20% plus growth, can just maybe walk through where you see kind of the lowest hanging fruit in that business in the dynamics in the market? Thanks.
Shantanu Narayen: Sure. I will take that Brent. I mean, when we look at the prospects for the Marketing Cloud, we continue to be very optimistic. The bookings were strong during the quarter. As you know in the enterprise business, you have a seasonally weak Q1 after what was an extremely strong Q4, but when we look at it big picture, we just continue to see great awareness, good traction with all of our solutions, people adopting the new solutions rather than point products. And I am sure you will get a lot more information next week at Summit and Campaign was off to a strong start, so that adds to another solution that we have now as part of the offering. So, we continue to be very excited about the prospects for the Marketing Cloud.
Brent Thill: And just a quick follow-up, in terms of the duration of some of the contracts customers are signing, can you just give us a sense of what the general trend you are seeing there?
Shantanu Narayen: Yes. I mean, I think people are still continuing to sign contracts. And I would say the average is probably 18 months, Brent, but it’s – you have multiple that are three years and retention continues to be fairly high in that space.
Brent Thill: Thank you.
Operator: Your next question comes from the line of Walter Pritchard from Citigroup. Your line is open.
Ken Wong: Hi guys. This is Ken Wong for Walter. Just a quick question on the point products, I mean, you noted that, that was driving some of the subscriber adds this quarter, I think the last time you guys updated us on the mix, it was about 80% were on the full Creative, I mean, how should we think about the mix going forward? Does that trend closer to kind of roughly two-thirds being on a full suite that you guys had when it was a desktop product?
Shantanu Narayen: I would think, Ken, that overall we would continue to have a higher mix for the entire Creative Cloud when we think about the Creative Cloud offering as opposed to the equivalent comparison with the Creative Suite product. And when we think about what happened in Q1, overall unit demand for the Creative products continue to be really strong and I think you will see mix changes during the quarter as long as we continue to have the perpetual option. The other thing I would say is we saw a lot of strength with new customer acquisition in the Photoshop and Lightroom bundle that was quite well received, but overall I would say that we continue to expect that overall mix in the Creative Cloud will continue to be towards the entire offering.
Ken Wong: Got you. And then just – go ahead.
Mark Garrett: I was just going to add to that, this is Mark, that like I mentioned we have this major launch coming with a big marketing campaign. And as we said, we are going to take CLP and TLP out of the channel and those two actions together are going to help drive Creative adoption and ARR in the second half of the year.
Ken Wong: Got you. And then Mark, you mentioned raising well you guys would beat the financial guidance you guys laid out there for fiscal year ‘14, does that also include the 3 million Creative Cloud subs?
Mark Garrett: Yes. All the targets we laid out we feel good about meeting or exceeding.
Shantanu Narayen: I would again continue to impress like I think we have for investors that the annualized recurring revenue is really the right long-term way to look at the health of the business. We are off to a strong Q1. And again as Mark said, that gives us confidence for us to expect to continue to beat the targets that we have. We are just not updating the guidance every quarter, annual guidance.
Ken Wong: Got you. Thanks a lot guys.
Operator: Your next question comes from the line of Brendan Barnicle from Pacific Crest Securities. Your line is open.
Brendan Barnicle: Thanks so much. Shantanu, I was interested in where you guys might be seeing leverage between the Creative Cloud and the Marketing Cloud and I am guessing it something will see more of next week, but do you have any commentary on that or how we might start to think about the TAM or new opportunities that you are seeing as those two products increasingly get used together?
Shantanu Narayen: Yes. We are seeing actually more and more, Brendan, it’s a good question. I mean I will give you some customer examples. The publishing industry certainly, they want a single asset repository and workflow to create content once and repurpose it across web and mobile applications and video. We are seeing in retail actually a number of innovative customers are looking to accelerate the entire time to market. So they have their design done with hopefully an enterprise version of the Creative Cloud ETLA. And then they are actually providing that design directly through manufacturing, through the workflow that we have, so instead of using traditional product databases they are actually using our content repository system. We are seeing marketers accelerate campaigns by having the content assets directly flow into the marketing platform. And you know in video, I think you are seeing creation, delivery and ad insertion also all done through a single system like Primetime. The two products that we have specifically in that space the digital asset management that’s represented within the Adobe Experience Manager and also we have the integration right now between DPS and AEM. So hopefully that gives you some color of how customers are actually aggressively wanting us to further integrate both within the clouds and across clouds.
Brendan Barnicle: Great. Thanks. And Mark just a quick one, any reason to assume Creative Cloud subscribers would decline sequentially at any point through the second half of the year?
Mark Garrett: Not based on what we see coming with the launch and like I said the removal of CLP and TLP from the channel. We are feeling good about subscribers and growing them in the back half of the year?
Brendan Barnicle: Great. Thanks a lot guys.
Mark Garrett: Thank you.
Operator: Your next question comes from the line of Jennifer Lowe from Morgan Stanley. Your line is open.
Jennifer Lowe: Great. Thank you. I wanted to ask about the Creative Cloud mix in the quarter, in particular any color around demand from individual or a team versus ETLA?
Shantanu Narayen: Well Jennifer, I think demand from individuals continues to be strong. I think the ETLA pipeline again you traditionally have a strong close to Q4 and then we start building up the pipeline in Q1. And so ETLAs will see a sequential seasonal decline between Q4 and Q1 and team continues to get stronger every quarter as we see both CS6 being longer in the tooth as it relates to channel fulfilling demand from the customers as well as people looking at the value added innovation that’s available through the Creative Cloud, team continues to get stronger. So that hopefully gives you color. And if you look at the individual application mix versus the overall you will also see that the Photoshop/Lightroom combination did well. As we have done survey on those customers we are definitely seeing market expansion and attracting new customers to the platform.
Jennifer Lowe: Great and just a quick follow-up clarification question, Mark to your answer earlier to Brendan, you said that you expect Creative Cloud subscribers to continue growth throughout the year, should we expect the rate of subscriber adds to grow throughout the year I just wanted to clarify that?
Mark Garrett: I didn’t get that specific but again with the launch and the removal of CLP, TLP in the back of the year, we would expect subscribers to grow. I would leave it at that for now.
Jennifer Lowe: Great. Thank you.
Operator: Your next question comes from the line of from the line of Ross MacMillan from Jefferies. You line is open.
Ross MacMillan: Thank you and congratulations. Mark you mentioned that the Creative subscription revenue was greater than perpetual licenses for the first time, is there any more color you can provide around that approximate mix between the two in Q1?
Mark Garrett: I don’t know is that we want to get that specific I mean what, like I said on the call it’s really pleasing to see more than half of our total revenue in the quarter coming from ratable sources now and more of the Creative revenue coming from recognized subscription revenue than from perpetual revenue. We did say that a couple of times now that perpetual revenue really falls off dramatically in the back half of year, again even more so now with the CLP TLP coming out of the channel. So I think it gets fairly de minimis like we talked about in the back half of the year.
Ross MacMillan: And just on that removal of the Creative Suite from the channel, does that apply also to direct sales as well so from adobe.com or through other mechanisms, in other words will it be basically impossible to get your hands on Creative Suite in the second half of the year?
Shantanu Narayen: No, Ross. I mean, the way we are looking at it we first feel that the offering that will be coming out later this year is going to be so strong. CS6 is definitely going to look longer in the tooth. I mean, we have created all of the appropriate training with the channel partners as well as making sure, the two licensing programs that we had CLP and TLP, both of them will still be available. We will in certain markets continue to offer the licensing. Again, that would be de minimis in the second quarter. And then electronic software download, you will continue to see us offer that, but even today honestly on adobe.com, the vast, vast majority of all purchases is clearly the subscription. So, Adobe.com has already made that transition. The direct enterprise business is all driving ETLAs. The channel mix is slightly different, but we feel so confident that we now have the product offering, we have the appropriate way for both the channels to resell our products as well as for people who are acquiring it within enterprises to have an admin console. I mean, all of that just leads us to make sure that we have a unified story about what the right product is for all of our customers.
Ross MacMillan: That’s really helpful. Maybe one last one just on ARPU, obviously it was lower as you expected in Q1 as a result of the Photoshop/Lightroom shift. Given the changes that are coming here in the second half, would you expect ARPU to actually begin to increase given I think the changes are going to drive more traditional suite users to move to the full Creative Cloud, I was just curious so that ARPU trend that you see this year?
Mark Garrett: Yes. So I mentioned this in the script, Ross. But again, the best measure of the business we still believe is ARR, because that incorporates everything obviously. And as we looked at the segmented offerings with individual team and enterprise, ARPU was relatively flat quarter-over-quarter across each of those offerings, but in aggregate, it was down due to mix and still remains kind of in the mid 30s, which we feel good about. And like we have said, over the longer term we feel that there is plenty of opportunity to drive that ARPU up. Right now, we want to drive subscriber adoption and we are going to do things that are prudent to do that, but again, ARPU remains in the mid-30s and it was affected by mix this quarter more than anything else.
Shantanu Narayen: And directionally, Ross, if you actually look at the ARPU, when you take out the Photoshop/Lightroom bundle, it was actually up slightly. And so again completely on strategy in terms of execution when we get Creative Cloud, we get people to renew at the upper price, all of that’s working well. So we continue to see an expansion opportunity with Photoshop/Lightroom, but if you remove the SLR from the mix, ARPU was actually slightly up?
Ross MacMillan: That’s very helpful. Thank you.
Operator: Your next question comes from the line of Kash Rangan from Merrill Lynch. Your line is open.
Kash Rangan: Hi, thank you very much guys. Nice cover on the new sub adds. Mark, can you talk about the 12.8 million subscriber base that you disclosed at the Analyst Day back in May and what percentage of that is roughly the breakup between commercial versus education government? And do you think that this ARPU of mid-30s can sustain even if you were to go back to a mix in your subscription base with CC as you get back into cumulative CS base of 12.8 million? That’s it for me. Thank you.
Mark Garrett: Kash, to be honest, we are not going to be updating that installed base migration at least not on the call here. That’s something that we would do maybe down the road at an Analyst Day or something, but like we said we continue to see good adoption from people that are both perpetual users as well as new users on Creative Cloud.
Kash Rangan: So is it possible then to give us some feel for when you have more of a normal mix of education versus commercial in your Creative Cloud subscriber base, how do we expect the ARPU to shape up our ASP to shape up, is it I mean relatively flat? How do you feel about the integrated pricing in the so-called non-commercial markets? Thank you.
Shantanu Narayen: Well, in the non-commercial markets, I think when we think about education, Kash, I mean it will continue to be a seating strategy in order to get people and it will probably be a lower ARPU much like the ARPU was lower when we think about what we had with the Creative Suite. We also continue to offer ETLAs within educational institutions, which is doing well. So the direct sales force has moved to educational institutions. So when we think about the education market specifically think of it as individuals within the education whether they are students, whether they are administrators or whether they are faculty they will have the ability to get Creative Cloud at a lower price point. You will have the equivalent of team for deployment within labs that product is also going to get updated as we talked about and at the higher end for enterprises. But it’s a great seating strategy and it allows us to continue to have people embrace our products as the products of choice as they embark on a creative career.
Operator: Your next question comes from the line of Steve Ashley from Robert W. Baird. Your line is open.
Steve Ashley: Thanks very much. I was just going to inquire about the dichotomy between your performance in geographies with your Asia-Pacific market being down 22% year-over-year. I was just wondering if you can give us a little color on that, does that have to do anything with the adoption of Creative Suite there and how that might have performed versus your expectation?
Shantanu Narayen: Clearly, Creative Suite started off strong in the U.S. and we are rolling it out kind of around the world it’s like anything else it seems to kind of move from the U.S. to Europe to Asia. So Asia has probably got the biggest opportunity in terms of Creative Cloud adoption moving forward. I don’t think there was anything we saw Steve around the world from a demand perspective that was troubling. Like I said, we saw stable demand across all the geographies. So it was nothing unusual in the numbers. And there is definitely upside on Creative Cloud adoption in Asia.
Mark Garrett: And when we talk Steve about digital marketing I think we have made it explicit about our focus on developed economies as the first area of focus and so as the percentage of digital marketing revenue in our overall revenue mix grows that will also show up more disproportionately in both the U.S. as well as in Europe.
Steve Ashley: It’s helpful. Maybe one last thing Mark, in the past you have been able to give us the ETLA ARR as a metric, I was wondering if we could get that at this time?
Mark Garrett: Yes, we actually have not split that out in the past I mean it’s fairly straightforward if you take the ARPU in the mid-30s times the number of users that we told you about in the quarter. You can kind of back into an enterprise ETLA ARR number. We have never really broken it out to be honest Steve.
Steve Ashley: Okay. Thank you.
Operator: Your next question comes from the line of Jay Vleeschhouwer from Griffin Securities. You line is open.
Jay Vleeschhouwer: Thank you. Good evening. I would like to ask first about businesses where you get paid in effect or at least in part based on customer activity, Shantanu you have alluded to DPS and I was wondering if you could update us a bit more on how that’s progressing and another business where you in affect get paid according to customers activity such as Media Optimizer and whether there were any other opportunities like those to where you could be on the meter in terms of revenue like those first two I mentioned then would follow-up?
Shantanu Narayen: Sure Jay. I mean I think with DPS we might have mention that we had about 150 million downloads. I think if we update that, it would be closer to 170 million right now. And so that traction continues. What’s exciting about DPS is that actually a lot of the new business is in commercial accounts as I think we mentioned, so that that all goes well for us as we see deployment within enterprises. Media Optimizer continues to do well, grow year-over-year in terms of the annualized marketing spend that we have. But I would actually say that all of Marketing Cloud is really transaction based. And when you sort of look at what’s happening with mobile and the move towards mobile devices and mobile traffic, I mean that is driving whether it is the number of multichannel messages that are communicated, whether that’s the amount of advertising spend that we do, whether it’s the amount of targeted offers that are going out on behalf of our customers. So the good thing about the Marketing Cloud is that as transaction volume increases with mobile clearly driving adoption that actually all goes well for all of Marketing Cloud.
Jay Vleeschhouwer: Okay. The second question has to do with your services and support revenue you had mentioned a quarter ago during Q&A that customers don’t want to do their own integration as far as digital marketing is concerned and your various solutions and you alluded to the same this evening. But we noticed that your services revenue were down sequentially and year-over-year, is that a function of older maintenance running off an older LiveCycle and Connect services revenue running off, but underneath it all you are seeing growing engagements in services revenue for Marketing Cloud than anything else?
Shantanu Narayen: Jay, I will let Mark answer that specifically. I think big picture as it relates to people adopting Creative Cloud, you are seeing more and more partners in the ecosystem who are standardizing on the Adobe Marketing Cloud. And again, I think you will see some exciting announcements next week about how more and more people are creating digital practices on our marketing platform. And so our strategy continues to be how do we engage those partners, how do we educate those partners, and for some of the key customers, we will certainly be prime, but we want the entire ecosystem to evolve.
Mark Garrett: And then Jay, you are right, on the services line to the extent that we have more and more customers adopting ETLAs, which is consistent with our strategy and where the sales forces really performing very well, you will see maintenance falloff on the old model and move into more of an ETLA model for Creative.
Jay Vleeschhouwer: One clarification, sorry Mark, one quick clarification regarding adobe.com, where you said the vast majority of Creative Cloud subs activity is occurring, is the total amount of adobe.com revenue now larger than it would have been two years ago before you began the transition when you were still relying largely on perpetual business going through the site?
Mark Garrett: Honestly, I have to look at that, Jay. I don’t know about the recognized subscription revenue specifically from adobe.com versus perpetual from adobe.com. I would think that if it’s not there already, it’s certainly going to get there, but I don’t know if it’s there yet.
Jay Vleeschhouwer: Thanks a lot.
Operator: Your next question comes from the line of Heather Bellini from Goldman Sachs. Your line is open.
Heather Bellini: Great, thank you so much. And I apologize, because I have juggling between a couple of different calls tonight, but I was wondering you talked a lot in the year ago if we go back to the Marketing Summit that you had, you talked about how you are integrating your products. I mean one of the things we hear from looking at the sales forces in the Facebooks and the Googles of the world as people would like one dashboard to kind of manage all their different marketing offerings and I think you guys are obviously in the pole position to offer that. I am just wondering if you could share with us kind of the current experiences of some of the customers that you have been winning as a result of that and what the common themes are and what you think the opportunity is to kind of increase that penetration into your installed base?
Shantanu Narayen: Sure, Heather. So, as you know, we announced at the last Marketing Summit that we would be moving all of the 20 or 30 products that we had into essentially five solutions that then got expanded when we made the Neolane acquisition into Adobe Campaign. If I look at our results for Q1, the vast majority of that revenue is now coming from solution. So it’s clear that people are buying the solutions as opposed to the individual point products and some of those solutions again have multiple point products of the past. So that’s one really positive dataset. The second one is as we delivered Adobe Campaign, which was off to a strong start it comes with the same user experience. So we have already built a single dashboard that allows people to in a unified way, use all of our different solutions. I think that two other things maybe I will leave you with. The first is managed services when we have an Adobe Experience Manager solution, it provides us with a great opportunity to not just have the Adobe Experience Manager solution as part of the installation, but to actually have all the solutions ready to go and all that a customer has to do is to turn it on rather than to explicitly have to contract with us. And finally, I think one of the things that is exciting for us is a lot of the CMOs are now looking at it and saying whether it’s their spend across multiple channels, whether it’s their communication across multiple channels, the entire media mix and attribution we are uniquely qualified to solve that for CMOs across their entire marketing spend. And so stay tuned for some exciting announcements in that front as well.
Heather Bellini: Thank you so much.
Operator: (Operator Instructions) Your next question comes from the line of Phil Winslow from Credit Suisse. Your line is open.
Siti Panigrahi: Thanks. This is Siti Panigrahi for Phil Winslow. Could you touch on the competitive environment in marketing given the continued consolidation in the space? And also I wanted to ask about the acquisition of Neolane, any initial feedback from customer and how should we look for Neolane to be more integrated into Marketing Cloud?
Shantanu Narayen: I will do the second one first. I mean it’s already integrated, it’s Adobe Campaign. We mentioned in the prepared remarks that it’s off to a strong start and so having that multichannel orchestration capabilities across all of our offerings across all the channels is a very strong add already to the Marketing Cloud. I think in terms of what’s happening in a competitive landscape, you are right. I mean there is more activity because it’s probably the most explosive new enterprise software category. And I think our D&A about creativity and marketers continued to give us a lot of optimism about how we are going to perform in this. We are the leaders and we are going to continue to differentiate honestly by integrating entire content delivery into this platform. So hopefully that gives you some indication. But yes there is more competition I think it’s just raising awareness of the entire category. And if you look at the industry analyst reports, we continue to be the leader not just in the entire platform but also in individual solutions.
Mike Saviage: Operator, we will take two more questions.
Operator: Your next question comes from the line of Derrick Wood from Susquehanna Financial Group. Your line is open is open.
Derrick Wood: Great. Thanks. Shantanu you just mentioned that the customers are shifting to solution deployments in the Marketing Cloud, I am just curious if there is any general metric you can provide in terms of the ASP uplift from this change?
Shantanu Narayen: I think you are going to hear some of that next week. You do know we are doing an FA summit there as well Derrick. So we will leave some information for you to come listen to both the announcements as well as an update on the business.
Derrick Wood: Okay. And just a follow-up on the Marketing Cloud, I mean given the publicity from the breach at target, I know that’s more on the point of sale side of things, but I am just curious if that’s having any impact in spending trends kind of in the e-commerce vertical?
Shantanu Narayen: No, I think customer behavior is really driving more e-commerce across every single device and I don’t know of a single customer that – of a single customer or partner who doesn’t believe that the move towards online digital commerce is going to diminish. So it’s just going to increase.
Derrick Wood: Thank you.
Operator: Your next question comes from the line of Rob Breza from Sterne Agee. Your line is open is open.
Rob Breza: Hi, thanks for taking my questions. Mark, maybe just a quick question I know was asked a little bit beforehand, but as you think about the geographical mix, I know Asia was around 16% for the last two quarters here, is that a trend or should we expect it’s kind of return back to that normal 20%? Thanks.
Mark Garrett: Well, I think over the right period of time, you will see Asia come back to where it was. And there is no reason to believe that it wouldn’t like that both I and Shantanu said they are going to be a little bit behind on Creative Cloud adoption. They are certainly behind on Digital Marketing adoption. And as perpetual falls off more and more that changes the mix, but there is no reason to believe that those mixes shouldn’t come back to where they were over the longer period.
Shantanu Narayen: Thank you again for joining us. We are executing well against the strategy and feel really great about the progress we have made. When we look at it, we think Q1 was a strong start in both our growth initiatives. In Digital Marketing, we do have the most comprehensive marketing platform, strong year-over-year bookings growth and we will share more details on the roadmap as well as industry partnerships that we are signing to accelerate that business. And in Digital Media, the strength of Q1 coupled with the innovation that we are on track to deliver later this summer leads us to expect to exceed the annual target that we had provided. We look forward to seeing you at Summit. Thank you.
Mike Saviage: This concludes our call. Thanks for joining us today.
Operator: This concludes today’s conference call. You may now disconnect.